Operator: Welcome to Colliers International Second Quarter Investors Conference Call. Today’s call is being recorded. Legal counsel requires us to advise that the discussion scheduled to take place today may contain forward-looking statements that involve known and unknown risks and uncertainties. Actual results may be materially different from any future results, performance or achievements contemplated in forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements is contained in the company’s annual information form as filed with the Canadian Securities Administrators and in the company’s annual report on Form 40-F as filed with the U.S. Securities and Exchange Commission. As a reminder, today’s call is being recorded. Today is August 6, 2020. And at this time, for opening remarks and introductions, I would like to turn the call over to the Global Chairman and Chief Executive Officer, Mr. Jay Hennick. Please go ahead, sir.
Jay Hennick: Thank you, operator. Good morning, everyone, and thanks for joining us for our second conference call. As the operator mentioned, I’m Jay Hennick, Chief Executive Officer of the company. With me is John Friedrichsen and Chief Operating Officer; and Christian Mayer, Chief Financial Officer. This call is being webcast and is available on the Investor Relations section of our website. A presentation slide deck is also available to accompany today’s call. This morning, Colliers reported better-than-expected second quarter results across all segments and regions of our company, despite the impact of COVID-19, primarily in our transactional business. In local currency for the quarter, revenues were $550 million, down 25%; adjusted EBITDA, $60 million, down 30%; and adjusted earnings per share came in at $0.70, down 36% relative to the prior year. On a year-to-date basis, revenues were $1.1 million, down 13%; EBITDA was $114 million, down 11%; and earnings per share was $1.25, down 22% versus the prior year. Based on our results to date, stronger-than-expected first half and acquisitions already completed, we are increasing our operating expectations for the balance of the year. In a few minutes, Christian will talk more about our financial results, liquidity and balance sheet as well as our updated assumptions. John will then offer some operational thoughts, after which, we’ll open things up to questions. Since March, most markets around the world have been under some form of lockdown or stay-at-home order, impacting everyone. I’m proud of how Collier’s leadership responded, taking aggressive action early to contain costs and realign resources, while encouraging our professionals to provide important advice and insights to our clients. Fortunately, our efforts to transform Colliers into a different kind of professional services company has paid off handsomely. Adding more recurring and contractual revenue streams, like investment management, property and project management, mortgage servicing and real property consulting and engineering, has provided us with more resilience and service line diversification than ever before, changing the dynamics of our global platform for the future. Recurring services now represent the majority of our revenues and earnings, with the balance coming from our highly variable transaction business, leasing and capital markets. During the quarter, industry estimates indicate transaction volumes were down almost 70% in the U.S., deal count down about 50% in Europe, and transaction volumes down almost 40% in Asia Pac. Colliers, of course, delivered much better than the rest during the quarter, showing great momentum and picking up market share in the same way as we did, frankly, during the great financial crisis. Make no mistake, revenues from transaction services are not going away. It’s a great business. In fact, I suggest that leasing and capital markets are essential services to most owners and occupiers of real estate assets. Clients want and need our advice now more than ever to help them make better real estate decisions, as they navigate uncertain times. Although revenues in this area may be down temporarily, I’m confident they will rebound nicely as business begins to return to normal. During the quarter, we completed a $230 million offering of convertible notes to further fortify our balance sheet. These notes are convertible into shares at the option of the holder, but also at the option of Colliers, essentially, their additional equity in our company. We finished the quarter with leverage at 1.5x, providing us with significant unused capacity to continue to take advantage of opportunities going forward. On the transaction front, we continue to take important steps. During the quarter, we completed the acquisition of Dougherty Financial, now rebranded as Colliers Mortgage, giving us a well-established real estate debt finance and loan servicing platform upon which to build. Then shortly after the quarter end, we added Maser Consulting, a leading U.S. engineering design and consulting firm focused on real estate and infrastructure assets. Both of these additions provide further growth opportunities and resilient revenue streams, and both bring strong leadership teams who will continue to drive their businesses under our unique partnership philosophy. I would like to welcome our new partners into the Colliers family the senior leadership team at Colliers Mortgage, led by David Juran, and those of Maser Consulting, led by Richard Maser, Kevin Haney and Leo Ponzio. Now I’d like to say a word about the valuation of our shares. As you know, our leadership team has a proven record of creating value for shareholders, delivering more than 20% compound annual growth in share value over the past 25 years. This record suggests we know a thing or two about businesses and how they are valued and how they’re leveraged. When I look at the trading value of Collier shares, an institutionally recognized global professional services company with significant growth opportunities, and the majority of its revenues and earnings coming from resilient revenue streams, I see huge value underappreciated. From an investment perspective, Colliers has historically traded significantly below property or professional services companies, despite having superior characteristics. Sooner or later, the market will wake up to this and begin to value our company, in line with the value we’re creating. That’s why our leadership team owns so much of the equity in our company, almost 40%, and that’s why we continue to invest, as we did during the quarter, by purchasing almost 10% of our recent offering. No one has more skin in the game. Looking forward, there continues to be a lot of uncertainty out there. And as a result, we continue to manage our business closely as enterprising owners would. However, whatever may happen in the coming months, all of us at Colliers remain confident that our highly diversified business model, resilient core of recurring revenues, strong balance sheet, entrepreneurial culture, significant insider ownership will enable us to emerge from these unprecedented times stronger and better than ever. Let me now turn things over to Christian for his comments. Christian?
Christian Mayer: Thank you, Jay. As announced earlier today, Colliers reported better-than-anticipated financial results across all service lines and regions for the second quarter. My comments follow the flow of the slides posted on the Investor Relations section of colliers.com to accompany this call. Please note that non-GAAP measures, such as adjusted EBITDA and adjusted EPS, referenced on this call are defined in the press release issued today. These adjustments are composed primarily of non-cash charges that we view as largely unrelated to our operating results. All references to revenue growth are calculated based on local currency. Second quarter revenues were $550 million, down 25% relative to the prior year. Internal revenues were down 26% due to the impact of the COVID-19 pandemic primarily on our transactional, leasing and capital markets operations throughout the quarter. Second quarter consolidated adjusted EBITDA was $60 million compared to $87 million last year, with margins at 10.9% versus 11.7% in the prior year quarter. Margins in each region were impacted by reduced revenues, but are mitigated by aggressive measures to contain costs, including discretionary support and administrative costs as well as compensation. I would like to take this opportunity to thank our teams around the world for their tireless efforts in managing their businesses closely during this unprecedented time. Q2 revenues in the Americas totaled $309 million, down 26%. Americas Outsourcing & Advisory revenues were flat with each of project management, property management and valuations holding stable. Leasing and capital markets revenues were down 45% and 24%, respectively, with leasing more heavily impacted as occupiers of office space, particularly in the urban markets, deferred decisions on future lease commitments. Adjusted EBITDA was $24 million, down 33% versus last year. EMEA Q2 revenues were $100 million, down 32% for the region. Leasing was down 42%, capital markets down 40% and Outsourcing & Advisory was down 23%, all impacted by the pandemic. Most of the reduction in Outsourcing & Advisory in the region came from our turnkey project management business, which experienced delays in executing on-site work, as several job sites were inaccessible. Adjusted EBITDA for the region was $6 million compared to $11 million last year. Asia Pacific revenues were $100 million, down 16% as the pandemic spread to most markets in the region during the second quarter. Leasing was down 48%, while capital markets was down 25%, partially offset by a small increase in Outsourcing & Advisory revenues, which included revenues from the recent acquisition of Synergy, now rebranded as Colliers in India. Adjusted EBITDA was $12 million compared to $14 million last year. Investment management revenues for Q2 were $41 million, down 12%. Pass-through carried interest revenue attributable to prior owners declined by $4.3 million and comprise the majority of the revenue decline. Assets under management were $35.7 billion at June 30, 2020, up 2% from $35.1 billion as of March 31, 2020, with underlying asset value and funds under management remaining stable. This validates Harrison Street’s demographic investment strategy, which focuses on lower volatility asset classes, like student and senior housing, medical office, storage and social infrastructure. Adjusted EBITDA for the quarter was $17 million versus $19 million in the comparative period, with the margin impacted by the timing of certain European transaction fees. Our operating cash flow for the second quarter, excluding activity related to our accounts receivable facility, was $43 million, up from $31 million in the prior year quarter. Operating cash flow was favorably impacted by a reduction in working capital in the business, primarily accounts receivable, but also from tax payment deferral programs in some geographic regions. Both of these factors were attributable to the pandemic. Colliers maintains a conservative financial profile with a net debt to adjusted EBITDA leverage ratio of 1.5x as of June 30, 2020. During the quarter, we completed an offering of five-year 4% convertible notes for net proceeds of $224 million. The notes are convertible into subordinate voting shares over the next five years or, if not converted, may be settled at maturity in subordinate voting shares or cash at the option of Colliers. As such, the convertible notes are equity-like in nature, and they’re considered equity for purposes of our financial leverage covenants. The full extent and duration of the pandemic remains uncertain. However, as Jay mentioned, we have updated our working assumptions for the balance of the year to reflect: one, better-than-anticipated results for the second quarter across all service lines and regions; and two, the recent acquisitions of Colliers Mortgage and Maser Consulting. The updated revenue range for 2020 full year is a 10% to 20% decline relative to 2019. The updated adjusted EBITDA range is a 15% to 25% decline relative to 2019. Looking forward, we expect transactional, leasing and capital markets revenues, which both have highly variable cost structures, to remain below 2019 levels, although the scale of decline should moderate in the third and fourth quarters. Investment management and Outsourcing & Advisory revenues are expected to remain relatively stable through the remainder of the year, with some local variability depending on local market conditions. That concludes my prepared remarks, and I would now like to turn the call over to John.
John Friedrichsen: Thank you, Christian. It goes to also saying that measures mandated by governments around the world to contain the COVID-19 pandemic have caused steep declines in most business activities across the global economy. As a global business and leading player on commercial real estate and investment management, Colliers has put clients first, finding ways to assist during these times of uncertainty. We are confident that the time, attention and value delivered today will be rewarded by our clients in the future when the current level of uncertainty significantly reduces and decision-making with longer term time horizons resumes. Across our global business, our business leaders, professionals and support staff did an exemplary job adjusting to the significant change in operating conditions. Tough measures were taken to contain costs, while striving to ensure business continuity and providing services to clients under challenging circumstances. Prior investments in technology allowed us to transition from in-person to remote working in a near seamless fashion, facilitating ongoing communication and collaboration with each other and our clients. Some of these changes, including the reduction in travel, are expected to be permanent in nature. While others, such as working from home necessitated by the lockdown measures, will be substantially reduced as offices are reopened and repopulated. As we transition back to business as usual, we will continue to closely monitor our costs and gear our variable expense levels to our revenue-generating activity. In our last quarterly conference call, I referred to the countless silver linings to this crisis that Colliers would benefit from in the years to come, including the opportunity to reset certain elements of our cost structure, our capabilities and strategically invest for the future. One example of this was our $10 million Broker Relief Program implemented in our U.S. operations to financially assist many of our commission-only brokerage professionals who’d been negatively impacted by the sharp reduction in transaction activities caused by the pandemic. To our knowledge, Colliers is the only major firm in our industry to provide such a program, something that was incredibly well received by our U.S. transaction professionals and another way in which Colliers continues to put culture in the value of its people first. In addition, Colliers continues to strategically invest in talent across our global platform,and take advantage of opportunities to close gaps and build capabilities by attracting leaders and professionals caught up in bureaucratic organizations that have stifled their entrepreneurial spirit. To all of those that have recently joined Colliers and those working from home where the entrepreneurial spirit is alive and well, welcome to Colliers. While cost management continues to be an operational priority across our business, other areas of focus include the integration of Colliers Mortgage into our U.S. brokerage operations,and other relevant service lines, so that we can begin the process of leveraging our relationships across multifamily properties and drive value to our clients and brokerage professionals across our U.S. platform. Looking beyond the current crisis in post-pandemic economy, we expect the sharp decline we just experienced in leasing transactions across our global markets, largely related to deferred decision-making by occupiers to reverse, driving our recovery and activity, which, from an operational perspective, we intend to maximize by leveraging these investments in talent. That concludes our prepared remarks, and I would now like to turn the call back to our operator to facilitate questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Stephen Sheldon with William Blair. Your line is open.
Stephen Sheldon: Thanks, good morning. Just seems like relative to some of your large peers, you have a slightly more optimistic outlook on transaction activity stabilizing over the near-term. So anything to call out there in terms of what you’re seeing on a forward indicator side that’s given you some confidence about that stabilization – potential stabilization activity over the next few quarters? And how much of that is due to maybe market dynamics versus some of the things you talked about, like strategically hiring in this environment?
John Friedrichsen: I would say, Stephen, look, our view in our updated assumptions really are based on a ground-up review of expected transaction activity in our pipelines. Obviously, when we’re going through that exercise, we are risk adjusting these. I think risk impacting the completion of transactions that are in our pipelines remains elevated, but we’ve taken that into account. And I think it’s a reflection really of our global business and the types of clients that we service. But we are optimistically – have a level of optimistic confidence for the balance of the year. Really, at this stage, I would suggest that this is not due to the selective hiring that we’ve done. I think that, as in the past, activity related to those steps is obviously deferred, and there’s usually a bit of a lag between the date of hiring somebody and their contribution to our operations. But we’re confident that, that will play out well given who we’ve been successful in hiring more in 2021 and 2022. But our outlook is certainly based on the very grassroots ground-up level review of our pipelines.
Stephen Sheldon: Got it. Makes sense. And then just as a follow-up in EMEA for the Outsourcing & Advisory business. You noted some discrete project headwinds from, I guess, in-person restrictions. What visibility do you have in those projects ramping up in the second half? And has there been any change in client retention, so far, this year in that business in EMEA?
Jay Hennick: Stephen, we’d expect that those transactions would get back on track, and they are, in some cases, back on track. These are transactions that were in process and needed to be worked on to completion, so we feel that, that revenue will be there in the back half of the year, aside from any second wave or any other kind of major issue on the – from a health and safety perspective. But we do expect those revenues would be there, and client retention has been sound in our Outsourcing & Advisory business this year in EMEA and as well as globally. Yes, those are active projects that we’re currently working on. So it’s a subject of getting back in the building to do the work. Some buildings have access in France. Some buildings don’t have access. And so as they open up, our activities will resume. And as Christian said, we think the current projects will ramp up towards the balance of the year.
Stephen Sheldon: Great, thank you.
Operator: Thank you. Our next question comes from the line of George Doumet, Scotiabank. Your line is open.
George Doumet: Hi, guys. Congrats on a resilient quarter. I just wanted to ask you on – it’s a follow-up question on the Americas. Obviously, I think the deferred decisions on the leasing has quite a bit of an impact. I think we’re down 50% on that the revenue line year-over-year. Just wondering how much of that needs to come back for us to kind of attain the goalpost that we put out. Can you maybe give us a sense of where that number is trending? How much needs to come back, I guess, for us to be able to hit our guidance?
Jay Hennick: George, as I indicated in my comments, leasing was down significantly in the Americas. And we do expect, in terms of our Q3 and 4, that there will be a gradual improvement in leasing and in capital markets in Q3 and 4. I think it will be gradual. It will be a little bit. There is still a heightened uncertainty in the market. And on an overall basis, we’ve set the goalpost fairly wide here in terms of our working assumption. And – but I think some improvement is something that we expect, but the degree is unknown and uncertain at this point, but within that range that we set out.
George Doumet: Okay. I didn’t really see anything in the prepared remarks, but can you guys maybe give us an update on the $150 million in cost savings? I’m just wondering how much of that so far has been reinvested into the brokerage side of the business?
Christian Mayer: Yes. George, we’ve realized about $60 million out of that $150 million that we targeted in Q2, and that is, I think, a testament to our teams and the ability to be nimble and make those tough decisions quickly. And we – we’ve experienced the benefit of those cost savings throughout the quarter, April through June, by being quick and nimble on those changes. And I think we’re well on track to achieving that $150 million that we set out when we met last at the end of April on the Q1 conference call.
George Doumet: Okay. And just one last one, if I may, on – I guess, on general, on the senior housing asset class. Just wondering your thoughts or on anything structural in terms of maybe value of that asset class over the next couple of quarters as we navigate the pandemic. And just on the AUM side of the business, is the view there that we expect to grow AUM in the mid-single digits? I think that’s what you guys kind of – that’s the goalpost you guys gave last quarter. Is that still the aim for the remainder of the year?
Jay Hennick: So the seniors component of our investment management platform, Harrison Street, has obviously been impacted somewhat by the pandemic, but not materially so. I think, across the board, they’ve used the opportunity to enhance the value of the assets. There’s a lot of – it’s an essential service. There’s a lot of – there’ll be a delay in terms of having people move in for obvious reasons, but there’s waiting lists and so forth. So I think we’re very – our Harrison Street is very comfortable with its senior’s portfolio. They’re first class. They have first-class operators. So from that perspective, they’re good. Interestingly, the – in an environment where fundraising has been paused, Harrison Street continues to raise capital. As you can see, the AUM is up during the month, and that’s – so that was a positive sign. And new fundings are still on a pause, although there’s a lot of people looking at this alternate class because they’re open-ended fund, just received top performance in – across the board, one, three, five and since inception, so best returns in the industry. So Harrison Street is doing extremely well and relative to other asset classes for sure and continues to perform.
George Doumet: Okay, thanks for the answers. Good luck.
Operator: Thank you. Our next question comes from the line of Stephen MacLeod with BMO Capital. Your line is open.
Stephen MacLeod: Thank you. Good morning, guys. I just wanted to circle around a little bit on the Outsourcing & Advisory business, which clearly was a bright spot for the quarter in terms of resiliency. Could you just give a little bit of color around what trends you saw within the various segments within Outsourcing & Advisory, so from property management to project management to valuation and advisory and anything else that’s stood out?
Jay Hennick: Yes. All of them performed extremely well, considering what was going on out there, the limitations of getting on site at buildings, for example, property management, as Christian said, was flat. But there was a number of projects that we manage that we couldn’t get access to or we could get partial access to or they wanted to reduce costs, so the support staff around the building were impacted. And yet revenues in that segment continue to be flat with the prior year, so additional services being provided compensated. Project management pipelines have been as strong as we’ve ever seen. They continue to perform. Revenue-wise, was pretty much flat, EBITDA up. I’m just giving you thematically sentiment. Obviously, engineering is a new segment for us, operated very well, again, record pipelines. So across the board, the only area in project management that was impacted more than the rest, and our project management business now is approaching $450 million globally, is our business in India. And there’s been in India lockdowns in a number of cities, which has impacted their results. Pipelines are there. Projects are ongoing, but they can’t get access to – similar to project management in France, actually, you can’t get access to a building. You could do work remotely. But in many of these cases, you need to be on site. So if there’s restrictions there, it really delays the execution of the job. So really, across the board in our – in that segment of our business, we’re very pleased with our results. And they’re resilient, as you said, but they’re also geographically diversified around the world, which gives us great benefit. Project management in Australia was strong. Project management in Asia was strong. So those are some of the details.
Stephen MacLeod: Okay. That’s helpful. And then when you look at the Asia-Pacific market, is there anything you can glean in terms of how that market performed out of the initial shocks in COVID-19, which proceeded the rest of the world? Is there anything you can glean in terms of a model for potential recovery or improvement in volumes in – on the leasing and capital market side?
John Friedrichsen: Well, you certainly can see, based on our quarterly results, that the reductions we saw in this quarter were not as significant in the Asia-Pacific region largely because they – we ended this thing first and then have emerged quicker. Australia and New Zealand doing a particularly good job in terms of containment. And yes, there’s the little spike that’s returned. But generally speaking, business is much more further along in terms of resumption and back to normal. So I think that’s a good indicator right there in terms of our own results, the down – the reduction in the quarter being much more muted in that region, much like it was a little bit elevated in Europe, which obviously went and do the things a little bit sooner than in North America here.
Stephen MacLeod: Okay, that’s fair. I think, that’s it for me. Thank you very much.
Operator: Thank you. Our next question comes from the line of Matt Logan with RBC Capital Markets. Your line is open.
Matt Logan: Thank you and good morning. Jay, you talked a lot about some of the positive end market trends in the Outsourcing & Advisory segment. If we roll all those trends up, where could we see adjusted EBITDA growing on a normalized basis for recurring services in 2021 or 2022?
Jay Hennick: Well, I don’t want to get into trouble on that, so I’m going to pass that to Christian.
Christian Mayer: Well, we do expect our Outsourcing businesses to be – remain stable and resilient through the balance of the year and to return to growth in the future, so definitely an increase there. We just recently closed on the two acquisitions. I’ll start with Colliers Mortgage. Half of that business is a recurring Outsourcing & Advisory business in the loan servicing area. We expect to grow that loan servicing book significantly over time. It’s $11 billion today, and we have plans to grow that materially over time as we integrate and grow our origination streams and our servicing book. And then finally, the Maser transaction that just closed in July is an engineering and consulting services business that is very recurring in nature, long-term contracts. That business generates close to $200 million a year in revenue. And we expect it will grow significantly over time and add to our Outsourcing & Advisory revenue streams. So I think we have a pretty optimistic and highly visible path to growing our Outsourcing & Advisory business in the coming years.
Jay Hennick: So as you look to 2021, you’ve got both the internal growth that Christian talked about, but also, we have already completed two significant acquisitions, which will provide acquisition growth on top of that. So we’re quite bullish about where that segment of our business goes in 2021 and beyond.
Matt Logan: And I guess, when we take a step back, I mean, Colliers shares are trading well below what we would see as a fair multiple for the sum of the parts from these businesses. Would you ever consider leveraging your balance sheet for a larger acquisition to solidify Colliers as a recurring business? Or conversely, would you consider monetizing select pieces of the recurring business to capitalize on high valuations in the private market?
Jay Hennick: Well, let’s start with, everything’s on the table. We own 40% of the equity. We’re in the business of creating shareholder value. We always have been. And as I said in my prepared comments, I think where we’re trading is extremely low relative to other property and professional service businesses out there. We have a very strong balance sheet. We have tremendous capacity to continue to pursue growth opportunities. As you can see, over the past two years or more, three years probably. Most of the activity has been around recurring revenue services. We like the mix of our business today, but we like – we’re going to have to take a look at shareholder value. And many of the acquisition prices out there for high-quality businesses trade well in excess of where Colliers’ global platform trades. So we’re going to have to look at all of these factors.
Matt Logan: And I guess maybe taking a step back and changing gears a little bit. You had mentioned there could be opportunities for further cost reductions within the business. Could you give us a little bit of color on what those might be and how they could impact margins over the next couple of years?
Christian Mayer: Yes. I mean, Matt, in the near-term, there are opportunities to take more of support costs and compensation costs primarily out of the business. That’s something that we’re looking at closely, and we continue to monitor closely. And there is a lot of uncertainty still in the market. And obviously, for our Q3 and 4 operations, we have that lever available to us. As John mentioned, there’s some more structural things that are changing in our cost structure, like our approach toward travel, our long-term approach to the level of support costs and administrative costs in the business. And those are things that will evolve over time and will allow us to improve our margins in those transactional businesses through those changes and approach to the way business is done, and that is really one of the silver linings of this crisis. And we’ll see where that margin enhancement takes us here over the next – over the coming quarters and years.
Matt Logan: And last question for me, just a minor housekeeping item. Could you tell us the organic growth by region for the Americas, EMEA and Asia Pacific?
Christian Mayer: Yes, we can get you that. Just give me one second for those. So organic revenue growth in the Americas for Q2 was minus 27%; Asia, minus 19%; and EMEA, down 32%.
Matt Logan: That’s great. Appreciate the color. That’s all for me. I’ll turn it back. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Frederic Bastien with Raymond James. Your line is open.
Frederic Bastien: Good morning, everyone. My first question is for John. When you stepped into the newly created role of COO, you indicated that you would spend a lot of time strengthening Colliers occupier services and do some work on corporate solutions and capital markets businesses. Have you been able to get the ball rolling on these initiatives? Or were they put on hold in favor of other pressing matters?
John Friedrichsen: Excellent question. Yes, I mean, more of the latter. My full-time attention was going to be devoted to growth initiatives around global occupier services and a few other important growth initiatives for us. But as a result of what’s transpired here with the pandemic, some of my priorities have changed a bit. But by no means, if I abandon working closely with Scott Nelson and the rest of the global occupier services team, I mean, we have the same opportunity that we had previously. It’s just been delayed a little bit, and we have a pretty ambitious plan to gear up and hire, bring on additional account within that business. So we’ve had to just pare that back a little bit. We’re still doing it. We have been very successful to date in hiring some very high-performing professionals. We’re continuing to have those discussions. We’re going to be selective, but we are not coming that off at all. We’re continuing to look at better ways to use technology within that business. I think we already have a market-leading Colliers 360 tool that many of our clients and others use and are very, very interested. It’s a differentiator within our industry. And the light at the end of the tunnel, we’re starting to see a little bit in that business. That’s going to help dictate our pace of investment. And we’re now seeing a number of global mandates that were scheduled to be brought to market in terms of prospective opportunities for our business now surfacing. So we’re hopeful that we’ll be successful on some of those going into the third quarter here. And that, I think, will also be an indicator as to whether or not we’re able to accelerate our hiring processes around that business. So really excited about it, but certainly, what’s – the operating conditions we’re under right now have caused us to regear a little bit. And – but notwithstanding that, our long-term perspective is this is an important area for Colliers to grow. We have the capabilities to do it. There’s a few gaps that we need to close, and we’re going to do that.
Frederic Bastien: Awesome. That’s great color. Next question is for Jay. Can you share with us perhaps a single largest lesson that you’re basically taking away from this pandemic?
Jay Hennick: Well, that’s a good question. The single largest lesson is that culture counts, and the fact that we – I believe we are extremely well managed. There’s a lot of people in this organization that have been with us for many, many years. They understand the Colliers way of operating. They’re very enterprising and entrepreneurial, and that mattered big time when we had to restructure our operations, take costs out of the business, have detailed conversations with people all around the world why all of these necessary steps needed to be taken in order to take our business to the next level, and people responded beautifully. And having that cohesion of a management team really makes a difference and, I think, is going to pay huge dividends for us going forward. I mean, it’s not easy to replicate a great culture. And I mean, at the end of the day, in a people services business, it’s all about the culture.
Frederic Bastien: That’s great. My last question, Christian, sorry, I missed the dollar amount of savings you’re able to achieve out of your $150 million target.
Christian Mayer: Yes, we’ve achieved $60 million in Q2, and the full year target remains $150 million.
Frederic Bastien: 60, 6-0 or 5-0?
Christian Mayer: 6-0.
Frederic Bastien: Okay. Thank you very much, guys.
Operator: Thank you. I’m showing no further questions. I would now like to turn the call back over to Jay Hennick for closing remarks.
Jay Hennick: Thank you very much, operator, and thanks, everyone, for joining us today. And we look forward to the next quarter conference call to see how our transactional services do. But as Christian says, we’re cautiously optimistic that we’ll have some gradual improvement. The rest of our business, we’re very comfortable with where they’re going to be. Thank you for joining us, and we’ll speak soon.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect. Everyone, have a wonderful day.